Operator: Ladies and gentlemen, good day, and welcome to Full Truck Alliance's First Quarter 2024 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mao Mao, Head of Investor Relations. 
Mao Mao: Please note that today's discussion will contain forward-looking statements relating to the company's future performance, which are intended to qualify for the safe harbor from liability as established by the U.S. Private Securities Litigation Reform Act. Such statements are not guarantees of future performance and are subject to certain risks and uncertainties, assumptions and other factors. Some of these risks are beyond the company's control and could cause actual results to differ materially from those mentioned in today's press release and discussion. A general discussion of the risk factors that could affect FDA's business and financial results is included in certain filings of the company with the SEC. The company does not undertake any obligation to update these forward-looking information, except as required by law.    During today's call, management will also discuss certain non-GAAP financial measures for comparison purpose only. For a definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results, please see the earnings release issued earlier today. Joining us today on the call from FTA's senior management side are Mr. Hui Zhang, our Founder, Chairman and CEO; and Mr. Chong Cai, our CFO. Management will begin with prepared remarks, and the call will conclude with a Q&A session. As a reminder, this conference is being recorded. In addition, a webcast replay of this call will be available on FTA's Investor Relations website at ir.fulltruckalliance.com. I will now turn the call over to our Founder, Chairman and CEO, Mr. Zhang. 
Hui Zhang: Entering 2024, we continue to steadfastly promote the digital and intelligent transformation of the logistics industry by enhancing logistics efficiency and reducing costs for tens of millions of small and medium-sized shippers, we empower enterprises with greater logistics competitiveness and improved profitability with our core cost savings value proposition and consistently optimize the product experience, our network effect is growing stronger at both ends that is for both truckers and shippers. This leads to continuous improvements in fulfillment efficiency and further propels our growth flywheel. In the first quarter, we delivered nearly 30% year-over-year growth in fulfilled orders, again, significantly outpacing the single-digit growth of the broader road free market, reflecting the ongoing shift from the traditional off-line solutions of accordance truckers and contracted shipments to innovative digital and intelligent logistics platform.    Since the first quarter, we have achieved continued improvements in key operational metrics, as evidenced by our new user growth, high-quality truck supply and enhanced monetization efficiency as we strive to become the one-stop shipping platform for tens of millions of small- and medium-sized shippers, new user acquisition remains a priority. As such, we continue to strengthen awareness of FTA's cost saving benefits for freight shipping. In addition, we refined our operational process for user acquisition and initial fulfillment, adding significant momentum to new user reps. Our average ship MAUs reached $2.14 million, an increase of 22.3% year-over-year. The strong demand from direct shippers continued to drive rapid order growth across our platform with direct shippers contributing to 47% of total fullfilled orders in the quarter. While ensuring an ample supply of truckers, we significantly improved the quality and efficiency of our trucker supply during the quarter through initiatives such as the trucker credit rating and the premium cargo billing functions. At the same time, we saw truckers become more dependent on our platform as their wallet share grew significantly as we continue to expand our high-quality transportation capacity, our fulfillment rate amounted to 33.5% in the first quarter, up nearly six percentage points year-over-year to an all-time high. In terms of monetization, we comprehensively optimize our monetization strategies this quarter, positioning us for healthy and rapid top line growth. These achievements further underscore our unparalleled replace value to both truckers and shippers.   Our robust business growth translated into an exceptional financial performance that went beyond expectations with revenues increasing by 33.3% year-over-year to RMB 2.27 billion in the first quarter. Non-GAAP adjusted net income increased by 46.9% year-over-year reaching RMB 760 million. I'd like to highlight that our revenue mix continues to improve as transaction service revenues surged by more than 60% year-over-year, accounting for 30% of our total revenue for the first time, a significant milestone. In the first quarter, the premier emphasized in the government work report the imperative to take steps to reduce logistics costs. Looking ahead to 2024, the reduction of logistic cost as an important measure to optimize economic efficiency will garner even greater attention and support. Leveraging the favorite dynamic, we will further propel the logistics industry by advancing digitalization, smart innovation and environmental sustainability, ultimately creating greater value for our users and the industry as a whole.  Thank you, everyone. Let me pass the call over to our CFO, Chong Cai who will provide an update on our first quarter business progress and financial results. 
Chong Cai: I will start with an overview of our operational highlights and provide an update on our first quarter financial performance. We started the year off well with a solid performance in the first quarter. Our fulfilled orders increased by 29.6% year-over-year to $39.3 million, again, significantly outpacing the single-digit year-over-year growth of the broader road trade market. We attribute this to sustained strong year-over-year order growth to our ongoing user base expansion and matching efficiency improvements. Sequentially, the number of fulfilled orders declined in the first quarter due to the off-season effect of the Chinese New Year in line with previous seasonal patterns. Our fulfillment rates reached all-time high of approximately 33.5% in the first quarter, an increase of nearly six percentage points year-over-year and approximately 1.4 percentage points quarter-over-quarter. This was mainly attributable to contributions from our rapidly growing direct shipper base.    Despite a slight shortage of truckers due to the Chinese New Years holiday, our platform's overall order structure continue to improve as the scale of direct shippers expanded. The other contribution from our 688 member shippers and nonmember shippers reached 47%, making a historical high. In addition, user growth on both sides, along with efficiency enhancement driven by platform-wide service upgrades drove an increase in direct shippers fulfillment rate, boosting our first quarter average fulfillment rate to new heights. We're confident that we can sustain this growth momentum as we move through the rest of the year. Turning to our user base. Strong execution of our user acquisition strategies have yielded positive results. Our average shipper MAUs reached $2.14 million in the first quarter, up 22.3% year-over-year but down slightly from the previous quarter due to the Chinese newer holiday. The year-over-year increase was primarily driven by growth among our 688 member shippers and nonmember shippers who are mostly low and medium frequency direct shippers.    Since March, the average daily number of new shippers for filling orders has steadily increased over the time, peaking at a daily average of more than 10,000 new additions. We expect this vigorous growth trend in our shipper user base to persist throughout this year. Additionally, our high-frequency shippers activity remain robust with our shipper member 12-month rolling retention rate remaining above 80% in the first quarter. On the trucker side, as transaction volume on our platform expanded in the first quarter, the number of active truckers for feeding orders through FTA over the past 12 months reached $3.91 million, and our supply of truckers remain plentiful. Additionally, our next month's retention of truckers who responded to orders increased to 90%, approximately five percentage points higher than the comparable period in prior years. As a leading road freight platform, our broad trucker and shipper user base supported by vast transaction data and powerful algo has created a due growth flywheel and a huge competitive advantage. As a result, we expect our user stickiness to consistently increase.    Turning to our transaction service. As we mentioned on last quarter's earnings call, we renamed our transaction commission revenue stream to transaction service starting this fiscal year to better reflect the nature of our revenues and the company's latest business developments in our financial reports. Transaction service includes all monetization revenues generated from truckers relating to freight matching services, including monetization revenues generated from truckers in our intercity business that were previously classified under freight listing and value-added services. Under the new reporting measures, revenues from transaction service surged by 61.5% year-over-year to RMB 690 million in the first quarter. This growth was primarily fueled by three drivers: The solid expansion in the number of field orders, the increased monetization order penetration ratio and the elevated monetization rate. As of the end of the first quarter, our total commission city count increased to 234.    Meanwhile, we also stepped up stress testing across our commissioned areas. This included increasing commission rates for high-quality orders and implementing our round-the-clock commission strategy nationwide by the end of the first quarter. We no longer reduce commissions as matching time extends while commission waivers mechanism applies exclusively to low-quality orders. With the implementation of these refined commission rules, our first quarter revenue from transaction service covered more than 77.4% of fulfilled orders, an increase of approximately 8 percentage points year-over-year from last year's 69.3% order coverage on a comparable basis. Under the new calculation approach, our monetization amount per order, including transaction, commission and trucker membership fee increased to RMB 22.7 from RMB 20.4 a year ago. Before going over our financial results, I'd like to provide a brief update on our share repurchase program. On March 13, we announced an extension of our 1-year share repurchase program totaling $500 million initiated in March 2023. It has now been extended until March 12, 2025. Since the announcement, we have repurchased approximately 500,000 shares totaling approximately $3.78 million.    In addition to the annual cash dividend of $150 million paid in April, we will also continue to evaluate share repurchase program as part of our comprehensive shareholder return initiatives going forward. Now I'd like to provide a brief overview of our 2024 first quarter financial results. Our total net revenues in the first quarter were RMB 2.268.7 million, representing a 33.3% increase year-over-year, primarily attributable to an increase in revenues from freight matching services. Net revenues from freight matching services, including service fees from freight brokerage models, shipper membership fees from listing models and trucker monetization revenues, including commissions and membership fees from transaction services were RMB 1.869.7 million in the first quarter, representing an increase of 33.5% year-over-year, primarily due to the continued growth in revenues from the freight brokerage service and a steady increase in the transaction service. Revenues from freight brokerage services in the first quarter were RMB 965.2 million, up 24.9% year-over-year, primarily attributable to an increase in transaction volume due to the continued growth in user demand. Revenues from the freight listing service in the first quarter were RMB 213.5 million, up 6.7% year-over-year, primarily due to a growing number of total paying members. Revenue from the transaction service in the first quarter were RMB 691 million, up 61.5% year-over-year, primarily driven by an increase in other volume monetization penetration and the per order transaction service fee.   Revenues from value-added services in the first quarter were RMB 399 million, up 32.3% year-over-year. This increase was due to a growing demand from truckers and shippers for credit solutions and other value-added services. First quarter cost of revenues was RMB 1.31.9 million compared with RMB 849.4 million in the prior year period. The increase was primarily due to an increase in VAT related tax surcharges and other tax costs net of growth from government authorities. These tax-related costs net of government grants totaled RMB 908 million, representing an increase of 18.5% from RMB 766.4 million in the same period of 2023, primarily due to the expansion of transaction activities involving our freight brokerage service. Our sales and marketing expenses in the first quarter were RMB 340.1 million compared with RMB 245.7 million in the same period of 2023. The increase was primarily due to an increase in advertising and marketing expenses for user acquisitions as well as higher salary and benefit expenses. General and administrative expenses in the first quarter were RMB 264.5 million compared with RMB 179.5 million in the same period of 2023. The increase was primarily due to higher share-based compensation expenses. R&D expenses in the first quarter were RMB 247.7 million compared with RMB 229.9 million in the same period of 2023. The increase was primarily due to higher share-based compensation expenses as well as an increase in salary and benefits expenses.    Income from operations in the first quarter was RMB 312.2 million, an increase of 88.3% from RMB 165.8 million in the same period of 2023. Net income in the first quarter was RMB 586.4 million, an increase of 42.5% from RMB 411.4 million in the same period of 2023. On the non-GAAP measures, ouradjusted operating income in the first quarter was RMB 485.4 million, an increase of 78.2% from RMB 272.4 million in the same period of 2023. Our adjusted net income in the first quarter was RMB 756.4 million, an increase of 46.9% from RMB 514.8 million in the same period of last year. Basic and diluted net income per ADS were RMB 0.56 in the first quarter compared with RMB 0.38 in the same period of 2023. Non-GAAP adjusted basic and diluted net income per ADS was RMB 0.72 in the first quarter compared with RMB 0.48 in the same period of 2023. As of March 31, 2024, the company had cash equivalents, restricted cash, short-term investments, long-term time deposits and wealth management products with maturity over 1 year of RMB 27.5 billion in total compared with RMB 27.6 billion as of December 31, 2023. Our second quarter 2024 business outlook, we expect our total revenues to be between RMB 2.65 billion and RMB 2.72 billion, representing a year-over-year growth rate of approximately 28.3%â€“31.7%.    This forecast reflects company's current and preliminary views on the market and operational conditions, which are subject to change and cannot be predicted with reasonable accuracy as of the date hereof. That concludes our prepared remarks. We would now like to open the call to Q&A. 
Operator: [Operator Instructions] The first question comes from Eddy Wang with Morgan Stanley. 
Eddy Wang: My question is about the fuel orders. In the first quarter, we see that the corporate order growth was around 30% year-over-year. Once again, surpassing the growth rate of the overall road freight market. What are the key factors driving this sustained growth order volume? Given this trend, I just want to hear your expectation for the order volume growth in the second quarter. 
Chong Cai: We are very pleased to see our first quarter order volume growth outpacing the industry growth rate of 5% year-over-year by almost 25 percentage points. Considering that the pandemic's impact is gone and the user demand that cut accumulated due to the travel restrictions was fully released by the second quarter of last year. We believe that our sustained growth in other volumes since the beginning of this year is mainly attributable to the ongoing increase in our market share gain in the road freight sector, specifically the strong growth momentum in other volume in the first quarter was driven by three main factors: The continued expansion of user scale at both ends, the increased activity among existing users as a result of our enhanced product features and services and the incremental volume contribution from our new business. In terms of the user scale, the number of shippers continue to grow steadily during the quarter with an average monthly active shippers increased by over 22% year-over-year, showing an accelerated growth trend compared to previous quarters. Since March, the daily number of new shipper registration has continued to increase.    Also, as we enhance user acquisition efficiency and also strengthen personalized customer service for new users. We're driving more and faster conversions from new user registration to fulfillment. More importantly, direct shippers being a major contributor to this new user growth, bringing high-quality orders to our platform. Regarding product optimization,  we have added multiple new functions on the trucker side using big data analytics, the platform identifies and labels high-quality orders and matches them with truckers via a bidding process. Among the truckers who are qualified to bid and those with higher credit ratings have a better chance of bringing the bid and incentivizing those truckers to stay active on our platform to achieve higher credit ratings. This has created a virtuous cycle within the trucker ecosystem, maybe leading to more effective tiered management of truckers, greater activity among high-quality truckers and ultimately, better fulfillment efficiency. In addition, our new businesses, namely large ticket LTL and interstate services, both of them continue to experience very rapid order volume growth during the quarter, and we believe that the online penetration of these new businesses, particularly the LTL business remain relatively low. Given our unique user advantages in the sector, we see significant growth potential in the LTL sector.  Looking ahead to the second quarter, despite the high base effect of post-pandemic reopening in the prior year period, we remain very optimistic about maintaining steady high-quality growth in other volume. We're also confident that the year-over-year growth rate in the second quarter will be in the range of mid-20s. 
Operator: The next question comes from Jiulu Li with CICC. 
Jiulu Li: The performance rate reached an all-time high of 33.5% in the first quarter, up nearly 6% year-over-year and 1.4% sequentially. What are the key drivers behind this growth? What are your expectations for the fulfillment rate in the coming quarters? 
Chong Cai: Although the first quarter is typically the off-season due to the Chinese New Year holiday, our platform once again achieved a record fulfillment rate. We believe this success is largely due to our continuous optimization of user structure and dynamic product strategy adjustment. In terms of user structure, the other contribution from direct shippers reached 47% in the first quarter, that's up 3 percentage points year-over-year, while the fulfillment rates of both low and medium frequency direct shippers averaged over 50% in the quarter. Given small- and medium-sized direct shippers, higher fulfillment tendency and favorable pricing, this favorable shift in other mix also boosted our overall fulfillment rate. In addition, our enhanced order distribution strategy also played a role in this quarter as the platform's scale effects increase. For example, we efficiently identified medium to low-quality order posting and ground truckers who responded to those orders, priority access to high-quality orders in their next transactions.   We also provided these truckers with monetary incentives such as commission waiver and cash subsidies to encourage them to willingly fulfill orders of all quality levels. Furthermore, for truckers who are not picky about others who are in hard depart, we also slightly increased the exposure rate of long-tail order posting through the recommendation features on our app, ensuring a steady improvement in the overall fulfillment rate of the platform. Looking ahead, we aim to onboard more shippers and truckers and foster greater supply and demand to facilitate more matches and optimize the trucker cargo supply-demand balance. We'll also continue to encourage shippers to use product models like in trusted shipment and tap-and-go, which boast higher trucker acceptance rates and consistently enhance our product features to drive higher fulfillment rates. 
Operator: The next question comes from Charlie Chen with China Renaissance. 
Charlie Chen: Since last year, the platform's tiered trucker rating system has shown promising initial results with consistent improvements. Could you please elaborate on the key strategies and focuses of trucker operations? 
Chong Cai: Since the pandemic restrictions were lifted last year. Our transportation capacity supply has remained sufficient. Our monthly active number of truckers who responded to others consistently remained above $3 million in the first quarter. Trucker operations have always been a key focus of our platform. As such, we categorize truckers into three distinct groups based on their user profiles, the active truckers and inactive truckers and implement tailored strategies to each of these groups. For new truckers, our platform guides them to appropriate orders through product optimization, trucker community operations and easier access to high-quality orders for qualified truckers. In addition, we closely monitor new truckers' fulfillment rate in the first three trials. For existing active truckers, we focus mainly on traffic management where we deploy targeted operation for different tiers of truckers, these initiatives have effectively cultivated a mindset for quality transactions among truckers. By leveraging truckers' credit rating and activity metrics, we motivate truckers to increase their transaction frequency, ensuring robust capacity supply across the platform.    For those dormant inactive truckers, we proactively offer incentives such as gift packages for returning truckers and compensation coverage for unsatisfactory experience, encouraging them to resume business on the platform. Moving forward, we are confident that our proven and refined operational strategies will continue to deliver rewarding experiences for truckers on our platform and allowing them to maximize their earnings. 
Operator: The next question comes from Bruce Mi with UBS. 
Yuxuan Mi: Could you please provide us an update on our user acquisition progress during the first quarter? What is the company's user acquisition strategy for 2024? 
Chong Cai: The first quarter, as you know, it's typically a slow season in terms of user acquisition. Our user base, however, continued to grow rapidly on both sides in the first quarter of 2024. Currently, average daily new shipper registration exceeded 20,000 or trucker average over 10,000 daily registrations. The strong user growth momentum was primarily driven by our effective user acquisition strategies. Through a combination of online promotions, truck sticker advertising, off-line promotions and branding campaigns, we have meaningfully increased our brand visibility and awareness expanding our platform's user community. Our recently relaunched truck sticker advertising model involving outfitting truck experience with human and branded advertising is one noteworthy example. This promotional campaign has greatly amplified our brand visibility as trucks travel intercity routes and operating in logistic parts.    In 2024, we will continue to integrate online and offline user acquisition channels for optimal impact with a focus on online channels. We will allocate over half of our user acquisition budget to online initiatives to reach potential users more efficiently and attract more shippers and truckers propelling the expansion of our logistics service network. 
Operator: The next question comes from Brian Gong with Citigroup. 
Brian Gong: In the first quarter, revenues from transaction services or commission revenue surged by 61.5% year-on-year. What are the drivers behind this growth? Are there any adjustments to your commission strategy this year? How should we look at the revenue trend in the coming quarters? 
Chong Cai: In terms of our other coverage, this quarter, we rolled out the commission model in 30 new cities, scaling up the total commission city count to 234. Additionally, beginning in the first quarter, we further optimized our commission rules. For example, we eliminated the rule of commission decade based on matching duration so that the commissions better reflect other quality. Commissions on high-quality orders are unaffected by matching duration while low-quality orders are labeled as commission-free. As a result, the total monetized order volume surged by nearly 45% year-over-year, increasing the monetized order penetration ratio to approximately 77%. That's up about 8 percentage points year-over-year. In terms of monetization amount per other, the first quarter average amount, including trucker membership fees for intercity services and commission per transaction stood at RMB 22.7. That's an increase of approximately 11% year-over-year on a comparable basis. This increase was primarily attributable to our refined monetization strategies by leveraging big data analytics and identify high-quality order postings and increase their commission rates. We boosted average monetization efficiency per order across the platform without compromising the user experience.    Looking ahead, we will continue to optimize our commission strategy and consistently explore high-quality transactions monetization potential to maximize this revenue stream, ensuring robust and long-term advancement of our transaction services, and we believe our platform's current monetization level is still relatively conservative and that there's ample room for us to unlock the further monetization potential. 
Operator: That concludes the question-and-answer session. I would like to turn the conference back over to management for any additional or closing comments. 
Hui Zhang: Thank you once again for joining us today. If you have any further questions, please feel free to contact us at Full Truck Alliance directly or TPG Investor Relations. Our contact information for IR in both China and the U.S. can be found in today's press release. Have a great day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.